Operator: Good day, and thank you for standing by. Welcome to the UGI Corporation Q3 2023 Earnings Conference Call. At this time, all participants are in listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator instructions] Please be advised that today's conference is being recorded. I'd now like to hand the conference over to your speaker today, Tameka Morris. Please go ahead.
Tameka Morris: Good morning, everyone. Thank you for joining our Fiscal 2023 Third Quarter Earnings Call. With me today are Roger Perreault, President and CEO; Sean O'Brien, CFO; and Bob Beard, COO. Roger and Sean will provide an overview of our results and the entire team will then be available to answer your questions. Before we begin, let me remind you that our comments today include certain forward-looking statements, which management believes to be reasonable as of today's date only. Actual results may differ significantly, because of risks and uncertainties that are difficult to predict. Please read our earnings release and our most recent annual and quarterly reports for an extensive list of factors that could affect results. We assume no duties to update or revise forward-looking statements to reflect events or circumstances that are different from expectations. We will also describe our business using certain non-GAAP financial measures. Reconciliations of these measures to the comparable GAAP measures are available within our presentation. Now I'm pleased to turn the call over to Roger.
Roger Perreault: Thank you, Tameka, and good morning, everyone. On our call today. I would like to share several key highlights for the quarter, as well as some important areas of focus as we continue to execute on our strategy. Sean will provide a high-level overview of our quarterly financial performance, and then we will have ample time for your questions. Yesterday, we reported adjusted diluted earnings per share of $0.00 for the quarter and $2.81 on a year-to-date basis. We were pleased to see solid margin improvement in aggregate for our business as this enabled us to withstand cost and inflationary pressures during the quarter.  Year-to-date EBIT from our reportable segments was relatively consistent with prior year, largely due to significant benefits from the weather normalization rider and increased gas base rates in our Pennsylvania gas utility, higher margins, and the attractive fee-based contract structures in our midstream and marketing segment, and higher LPG unit margins in the global LPG businesses that partially offset the impact of lower retail volumes and increased operating and administrative expenses.  With our increasing focus on improving earnings reliability and strengthening the balance sheet, we were also pleased with our disciplined execution focused on reducing debt at AmeriGas by $200 million, which provides additional buffer on our debt covenants. We continue to focus on creating shareholder value, and this is demonstrated in our attractive dividend growth of 7.2%, which exceeds our long-term target of 4%.  Next, given UGI's year-to-date results in our expectations for the fiscal fourth quarter. We now anticipate that adjusted diluted EPS will be at the low end of our guidance range of $2.75 to $2.90. As we close out fiscal year 2023. We are employing a strong focus on cost control, including discipline, position management, and removal of discretionary spend to help offset weather impacts, and volume pressure earlier in the year.  Beyond our financial results, we've also made some meaningful progress since our last earnings call. We continue to deploy a significant amount of capital in our regulated utilities businesses with approximately $400 million invested year-to-date, primarily in infrastructure replacement and betterment. The utility segment continues to be an area of organic growth, and we are pleased with the addition of roughly 11,000 new residential heating and commercial customers year-to-date. Our utilities team also continues to make progress on the rate cases filed this fiscal year.  First, in mid-July, we filed a joint settlement petition with the Pennsylvania Public Utility Commission for our electric utilities rate case. The settlement reflects an $8.5 million rate increase, which is greater than 70% of the requested revenue increase, and we anticipate the commission will rule on the settlement in early fall for implementation in Q1 of fiscal 2024.  Secondly, non-par rate case continues to progress as expected, and I anticipate new quarter fiscal year 2024. As a reminder, this rate case included a request for a revenue increase of approximately $20 million and a weather normalization adjustment similar to the mechanism that we have in Pennsylvania.  Looking at our global LPG businesses, as we've shared over the past few months, an important area of focus has been to exit the non-core energy marketing businesses in Europe. We were pleased to make additional progress in this area by signing definitive agreements to divest of certain natural gas and power marketing portfolios in Belgium and France, and the wind and solar business in the Netherlands. With those agreements in place and the continued expiration of customer contracts, we anticipate that natural gas and power marketing volumes for fiscal 2024 will decline by more than 65% and 80% respectively.  Also, at UGI International, we continue to monitor energy conservation trends that began in response to energy security concerns and government mandates that were issued ahead of this past winter season. As we head into the next winter, we will continue to monitor customer behaviors so that we can react as quickly as possible. Similarly, at AmeriGas, we are seeing improvement in some of our critical operating metrics, such as on-time deliveries, zero fills, inefficient fills, and staffing levels, and this positions us very well for the future volume growth.  Lastly, I wanted to make note of the fact that last month we released our fifth annual ESG report entitled partners for the future. In this new report organized to align with TCFD, we provide an update on our prior commitments and highlight progress across a number of our key ESG initiatives. I am proud of the efforts from our teams and the partnerships that we've established that better enable us to operate in a sustainably and socially responsible manner.  Now, I'll turn the call over to Sean, who will comment on the financial results for the quarter. 
Sean O'Brien : Thanks, Roger, and good morning, everyone. I'll start by highlighting some of the key drivers by segment of our third quarter performance. For the fiscal 2023 third quarter, UGI delivered adjusted diluted EPS of $0.00 in comparison to $0.06 in the prior year. AmeriGas was flat in comparison to prior year as higher margins offset increased operating and administrative expenses. UGI International was down $0.01 with higher LPG margins were offset by lower earnings from the non-core energy marketing business.  Next midstream in marketing was down $0.01, as we saw the previously anticipated reversal of capacity management margins from the prior year. And finally, the utility segment was lower than the previous year, primarily driven by higher operating and administrative expenses during the quarter. Also, of note, the company recorded a pre-tax non-cash goodwill impairment charge of approximately 660 million to reduce the carrying values of AmeriGas, reflecting lower growth expectations post-acquisition, and an increase in our discount rate due to the current interest rate environment.  On a year-to-date basis, our natural gas businesses are up $0.23 due to higher gas-based rates. Benefits from the weather normalization rider, which offset the effect of warmer weather, incremental margin from the acquisitions of UGI, Moraine East and Pennant, and higher margins from natural gas marketing activities, including the effects of peaking and capacity management activities that benefited from extremely cold weather in late December. These increases were partially offset by higher operating and administrative expenses.  Our global LPG businesses are down $0.29 on a year-to-date basis, largely due to lower volumes attributable to driver capacity constraints and attrition at AmeriGas, as well as energy conservation in York. Additionally, AmeriGas also saw an increase in operating in administrative expenses as we made investments focused on improving distribution metrics and experienced higher overtime costs.  Next, for each reportable segment, I'll walk you through the key drivers of our third quarter results when compared to the prior year. Starting with AmeriGas, LPG volumes were down 6% due to continued softening and lower fuel demand, customer attrition and continued structure of conservation. Total margin was up 36 million due to higher LPG unit margins. That helped to offset the increase in operating administrative expenses, which resulted from continued inflation and the effective efforts to increase driver capacity, in preparation for the upcoming heating season.  At UGI International, LPG volumes were up 2% as colder than prior year weather offset the continued effects of energy conservation efforts, which began in response to the ongoing geopolitical situation in Europe. The effect of the increased volumes in higher LPG unit margins largely offset the lower margin from the non-core energy marketing business. The segment also experienced increased operating and administrative expenses, largely due to the global inflationary cost environment and increased uncollectible account expenses. The effect of the reduced total margin and higher OpEx was partially offset by an $8 million increase in other income, primarily attributable to the release of cylinder deposits. Next EBIT for midstream and marketing was down 3 million for the quarter. The business realized incremental margin from Pennant as well as increased earnings from natural gas marketing activities and electric generation, which partially offset lower capacity management margins. As noted earlier last year, we benefited from capacity management margin due to the timing of settling certain multi-year hedge contract for stored volume. Lastly, we turned to the utilities where margin was up 5 million over the prior year due to higher gas base rates in Pennsylvania, as well as benefits from the DISC and IRET programs. More than offsetting this increased margin were higher operating expenses and increased depreciation and amortization, resulting in a reduction in EBIT of 6 million versus last year. Also, as anticipated operating and administrative expenses were up 8 million, largely due to timing of certain employee related expenses and the effects of higher cost inflation. Turning to liquidity at the end of the quarter, UGI had available liquidity of 1.8 billion inclusive of cash and cash equivalents and available borrowing capacity on our revolving credit facilities. Over the past few months, we have emphasized our priority to strengthen the balance sheet. I'm therefore pleased that we were able to refinance the 2024 bonds at AmeriGas during the quarter and use that transaction as a deleveraging opportunity to reduce approximately 200 million of debt at AmeriGas. Before I hand the call back to Roger, I want to spend some time on a key area of focus for UGI. As you know, we continue to operate in a challenging global environment and it is therefore the utmost important that we run the business efficiently and manage cost effectively. With that being said, across the organization, we are increasing our focus on rationalizing and optimizing our cost profile based on the changing business environment. We are challenging ourselves to identify opportunities to simplify processes, optimize our structure, leverage technological improvements, and use digital innovation and analytics to create operational efficiencies and improve the customer and employee experience. These actions will enable us to reset our cost baseline, achieve sustainable cost savings, create incremental cash flow and capital headroom, and ultimately enhance shareholder return. And with that, I'll turn it back over to Roger to close this out.
Roger Perreault: Thanks, Sean. As I close, I want to emphasize some of the key messages that we've shared with you today. First, we have sharpened our focus on transforming our cost structure to deliver sustainable cost savings. We remain committed to improving the earnings quality of our business and strengthening the balance sheet. And this supports our solid track record of providing attractive dividend growth. Finally, we must be disciplined in allocating capital by concentrating on the best opportunities, including prior commitments which support our strategy and enable us to deliver higher earnings growth over the long-term. We believe that with these key actions, UGI will be well positioned to build on its solid foundation and enhance long-term shareholder value. Thank you for your continued interest in UGI and your participation on today's call.  And with that we will open the line for your questions.
Operator: [Operator Instructions]. The first question comes from the line of Christopher Jeffrey at Mizuho Securities. 
Christopher Jeffrey: Just wanted to kind of focus on one line from the press release that mentioned as far as improving the earnings quality of the business. Just maybe from a high-level, kind of curious on the strategies and levers available to UGI, when you're thinking about improving the earnings quality?
Roger Perreault: Yes, good morning, Chris and thank you for your question. Yes, there's no doubt, we're certainly emphasizing during the call a need for us to look at OpEx carefully as we continue to proceed here and continue to deploy capital in a very thoughtful manner as we're looking at investments in our renewables projects, deploying capital at our regulated utility, which as we talked about during the call, we continue to make really good progress. Continue to be very thoughtful on the capital we're deploying in our midstream business. So there's definitely a lot of focus right now on quality of earnings and looking at the mix of how we are going to be deploying operating expenses, throughout the next quarter and into next year. 
Christopher Jeffrey: And then maybe just to follow-up on that, are you looking at kind of M&A as a potential avenue in that vein of improving the earnings quality given some gas utility assets such for sale right now? 
Roger Perreault: Yes, right now we're really focused on improving the balance sheet and making sure that we have the appropriate liquidity when we are going to be looking and looking at potential M&A. So M&A is always a part of our strategy, we're always looking at opportunities that come through, but at this present time we are very focused on improving balance sheet. And with that, I'll call to.
Sean O'Brien: Yes, maybe a couple quick things to add to what Roger said and Roger hit it. Well, Chris, we're focusing on things we can control, that's why you heard him talk about OpEx, that falls to the bottom line. But I think the other thing to keep in mind is that the mix of our earnings is shifting some. If you looked at the quarter, you saw more growth in utilities in midstream, in the nat gas side of the equation. So, and obviously you saw some diminishing, some downward trends, which we've addressed on the other side of the equation.  So more that's the other thing to keep in mind. The mix of nat gas, LPG continues to shift. Some of it's related to growth, some of it's related to some things that we're very focused on, but we anticipate that changing over time. And that also is a nod to the reliability of the earnings and the quality of the earnings.  Last thing I would point out is in terms of more deliverability of earnings is the exit of the energy marketing business that adds, that took some volatility out of the equation as we continue to execute on taking that out the portfolio. 
Christopher Jeffrey: And then maybe just one last follow-up on, Roger also mentioned the renewable investments as part of that, just kind of how you're thinking about sticking with that 1.3 billion investment and you know, I think you've mentioned also recently about maybe a pivot from RNG to more focus on the propane opportunities. Just kind of an update on, on how you're thinking about that renewables opportunity set?
Roger Perreault: Yes, so a couple things to bring to your attention. We do expect for projects for the RNG projects to come on stream this year, so we continue to make nice progress on the RMG portion of the renewables portfolio. When it comes to the Renewable Dimethyl Ether, that's also continuing to progress nicely. We expect that by the end of this calendar year, we're going to be small scale facility that is being worked on in the UK and Europe will be fully up and running. There are portions of it running today. Other portions are going to be running by the end of the calendar year. That'll put us in a really good position to assess the first full scale facility. And of course, we continue to also be very active in the bio-LPG space as well. So the thesis on renewables continues with what we highlighted in prior calls. We remain very focused as we continue to develop not only the R&G portions of the portfolio, but also the LPG portions of the opportunities we have.
Operator: [Operator Instructions] Our next question comes from the line of Julien Dumoulin-Smith of Bank of America.
Julien Dumoulin-Smith: I just wanted to actually circle back here on just the earnings variance here and improving that mix. Sounds like there's two-pronged strategy here. First, looking at acquisitions that both reduce the corporate wide volatility and then separately try and get the business level to reduce some of the variability driven in some of those contracting efforts. Is that fair? I'm just trying to make sure I heard the last, the response to the last question appropriately?
Sean O'Brien: I can start Julien. I think that's fair. I think if you, maybe to say it differently, obviously, if you're looking at significant growth in areas, which a company is always looking at everything, Nat nat gas tends to make more sense. And then what we're doing with the baseline businesses is we're trying to take volatility out of things like the energy marketing. You saw some of those positive steps that were taken this quarter trying to stabilize the LPG. There's a lot of focus on that side of the equation. All the while you're seeing actual growth in the nat gas side. If you look year to date, you saw pretty strong growth on the utility side and pretty strong growth on the marketing side. So I think if you take that all into consideration, you're seeing nat gas become a much larger, becoming a larger per percentage of the mix of the company's earnings.  The only other thing that Roger added was we're taking a really hard book on cost for the quarter. You saw cost pop-up quite a bit. Some of that was investments that we knew we wanted to make, but you're in an inflationary environment and I think the company's really going to take a hard look at increasing the bottom-line and controlling those things as well.
Roger Perreault: I was just going to add one additional point, Julien is, and as we've talked about. We continue to be very disciplined in our energy services business to move contracts to more fee type structures. So take or pays monthly fees, et cetera, which is also one of our focus areas to continue to improve the reliability of earnings. So the combination of all that Sean just mentioned and that additional focus and then discipline on where we're allocating capital. And as you can see from what we've been talking about and highlighted during the quarter. We continue to be very focused on meeting our requirements to inject capital in our regulated utility and rate cases in particular.
Julien Dumoulin-Smith: And just in terms of improving the balance sheet overall, especially considering acquisitions here, do you have kind of a threshold, sort of a target or maximum leverage that you think you would kind of maintain through this process, if you will? Just to follow-up on that last response.
Roger Perreault: Maybe a couple things to consider. Obviously, when we talk about balance sheet strength in particular, if you look at utilities, if you look at energy marketing and international, they're all in very, very strong shape in terms of where they at. Where they sit in relation to their debt metrics. What we're focused on is AmeriGas. We highlighted the $200 million of debt reduction. So we're trying to get that leverage ratio below 5. We're focused on that. We were able to make some progress in queue by delevering some no additional equity cure needed. That was, we were very pleased with that. And then I think as you do that with AmeriGas, we're trying to get the core metric, below 4.0. It's in okay shape, but I think the ultimate goal is through AmeriGas through some other initiatives that we're doing. We also want to increase the liquidity that we have up at UGI Corp and try and get that metric below four as well into that three, five to four range.
Julien Dumoulin-Smith: So you wouldn't be looking at aging, uh, as part of any transaction. It sounds like. And in fact, actually maybe just since you bring up AmeriGas in the balance sheet just to come to that piece, the impairment decision, I'm just curious. I mean, why now. I mean, especially into a year, if you will. What triggered that today or at quarter end versus say at the annual mile marker, if you will?
Roger Perreault: The things that would be, obviously as you look at those impairments, it's typically a view, a new view that kind of moves you into moving to, taking that transaction or taking that impairment. It was really the growth levels for, as we look forward, Julian. Those have shifted over time. A lot of that goodwill was put on over the years. If you go back a decade or so through some of the transactions. As we look at Q3, it's going to be our expectations of future growth. Those were diminished, we modified for those. And the other big adjustment that would've added to that is, we we're interest rates have gone. So we had to modify things like interest rate costs as well as our future growth outlook. With those two things in mind, you ended up in a position where you had to take about 660 million of the goodwill off the books.
Julien Dumoulin-Smith: In fact, actually, just since, as you talk about that growth side, the last question. Can you elaborate just a little bit on the sort of the cadence of your long-term EPS growth? I understand that you have a wider range than most, but how do you think about the cadence of getting there? Obviously renewable gas the piece contributes meaningfully here, but especially considering the AmeriGas impairment. How do you think about the different pieces contributing to it and the cadence of it through the five-year period if you will?
Roger Perreault: I'll kick it off and certainly invite Sean and or Bob to comment as well, Julian. So as we always highlight, the long-term growth rate is 6% to 10%, so we remain committed to a long-term growth rate of 6% to 10%. Sean just talked about AmeriGas specifically. A couple of things I'd like to add to the AmeriGas story. Although we've taken a different outlook for growth, we continue to see the AmeriGas business and leading metrics progress very nicely when we think of on time deliveries, when we think of customer service levels, etc.  We're seeing that progress nicely. So we certainly are looking towards an AmeriGas volume growth projection that will take place over time. We are of course monitoring the AmeriGas efforts clearly, and that's why one of the things you see in our operating results. There is some OpEx that has increased that AmeriGas to really position us very well for this coming season. So I didn't want to highlight that during, as part of the answer.  Anything to add to that Sean or Bob? 
Sean O'Brien: I just think, you know, as we think about the growth per outlook, the Nat Gas business in my time here continues to strengthen. We have, I think Julian, the thing to contemplate is, we are taking a focus on the balance sheet, so that's more near-term. I think we have a line of sight to improving that outlook, but that would've been something that wasn't in the equation a year ago or two years ago. So that's going to change your outlook a little bit in the next year or so. We've got to stay focused on improving the balance sheet, but I do see some really good trends on the Nat Gas side in terms of future growth and our ability to continue to grow EPS. Dividend growth has been something the company's been very proud of. I think Roger mentioned it in his remarks and something that the company's really delivered on very, very well and I expect that to continue. But balance sheet focus probably puts us in that mode for the next year or so. 
Julien Dumoulin-Smith: Six to 10 intact for the five-year period still? 
Roger Perreault: And Julien, as always, right, we're going to be providing a lot more color on this at the year-end as we finish out our fourth quarter. And that's typically, that's when we have a much more in-depth conversation around you the plan years and what we're seeing at that time. So expect a lot more at the end of the fourth quarter of course. 
Julien Dumoulin-Smith: Yes, certainly. Sounds like pieces are moving around here for sure. Thank you guys again for your patience. Really appreciate it. 
Operator: [Operator Instructions] I'm showing no further questions at this time. I would now like to turn the conference back to Roger Perreault, President and CEO for closing remarks. 
Roger Perreault : Thank you, Rivka, and thanks, all of you for joining us today, and we certainly look forward to our next earnings call, which will take place mid-November. Have a good end of the week and weekend. Thanks. 
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.